Operator: Hello, and welcome to McDonald’s January 25, 2016 Investor Conference Call. At the request of McDonald’s Corporation, this conference is being recorded. Following today’s presentation, there will be a question-and-answer session for investors. [Operator Instructions] I would now like to turn the conference over to Mr. Chris Stent, Vice President of Investor Relations from McDonald’s Corporation. Mr. Stent, you may begin.
Chris Stent: Hello, everyone and thank you for joining us. With me on the call are President and Chief Executive Officer, Steve Easterbrook and Chief Financial Officer, Kevin Ozan. Today’s conference call is being webcast live and recorded for replay by webcast. Before I turn it over to Steve, I want to remind everyone that the forward-looking statements in our earnings release and 8-K filing also apply to our comments. Both documents are available on www.investor.mcdonalds.com as are reconciliations of any non-GAAP financial measures mentioned on today’s call with their corresponding GAAP measures. And now, I would like to turn it over to Steve.
Steve Easterbrook: Thank you, Chris and good morning, everyone. We begin 2016 in a much better place than we were 12 months ago. Today, we are more aligned to the system, franchisee cash flows and our major markets are improving and we have a strong commitment to executing our turnaround plan. Our near term priorities are clear. Our turnaround plan is the first step to fortifying the fundamentals of our business and restarting growth. It’s grounded in running great restaurants, driving operating growth, creating brand excitement and enhancing financial value. These actions ultimately position us to strengthen and grow as a more competitive and more modern business. We’ll build on this foundation as we position McDonald’s for long term growth that would drive shareholder value in 2016 and beyond. Different markets are in different stages of the turnaround. The U.S; our largest market is currently in the trajectory change phase. While we are pleased with the recent positive momentum in the U.S. it will take at least six more months of posted comparable sales and guest count growth to progress through the sustained and prolonged growth phases of our turnaround. I am confident in the actions we are taking and attraction is beginning to take hold. Most importantly, customers are noticing a difference. Our customer feedback systems are showing improvements in many important aspects of the customer visit, including food quality, order accuracy, speed and friendliness. In many ways 2015 was a year of two halves. The first half of the year our performance fell short of expectations as I stepped into my role, my priority was to objectively assess our business, diagnose our opportunities and develop a leaner organizational structure. The second half of the year was about execution. The new operating structure that went into effect on July 1 sharpened our focus through a great accountability and removed distractions and bureaucracy to speed up decisions and increase our ability to move winning tactics quickly across markets. As markets adjusted to how they think and operate we began to get traction, ending the year on an upwards trajectory. Comparable sales were up 5% for the full quarter, up 1.5% for the full year. Operating income was up 16% for the quarter and earnings per share increased 26% both in constant currencies. Various current employer items outside our normal operations impacted earnings comparisons. Kevin will share more details. Excluding these items, earnings per share would have been up 10% for the quarter in constant currencies. Now let’s turn to segment performance. The U.S. remains fundamental to our turnaround given a significant contribution to consolidated results. U.S. comparable sales increased 5.7% for the full quarter marking the best quarter in nearly four years. For the full year, comparable sales grew 50 basis points, an encouraging change in trends after two years of declines. While we’ve seen recent improvements in comparable guest counts they remain negative for the full year. We need to do even more to increase the frequency of visits from our loyal customers and win back customers we’ve lost. Strong partnership with franchisees as we execute our business building initiatives has resulted in growth in restaurant level cash flows for both the quarter and the year. This is just one more indication of the progress we are making. Our formula for success in the U.S. consistent with many other markets, a focus on operational excellence coupled with relevant menu news, all supported by strong alignment with franchisees. The foundational steps we took to enhance menu quality simplify restaurant operations and offer even more convenience to customers led to a palpable shift in momentum in the third quarter. All Day Breakfast fills on this momentum in the fourth quarter exceeding internal expectations during the launch phase. It’s driving incremental business. Many customers who otherwise would have gone elsewhere are coming to McDonald's to enjoy some of their favorite breakfast items like our Egg McMuffin and Hash Browns at lunch and throughout the rest of the day. At the same time, existing customers are adding breakfast entrees to their regular orders, boosting sales and average check. In addition to benefitting top and bottom line growth, all-day breakfast positions us to regain market share we’ve given up in recent years. Infact, since the launch of all-day breakfast we’ve experienced positive weekly comparable sales gaps relative to our QSR sandwich competitors and we ended the quarter with a positive gap for 2.9%. Another priority in the U.S. is the establishment of a consistent national value offering. We began testing McPick 2 earlier this month. This value offer gives customers the flexibility to bundle their choice of two items at a compelling price points. Whilst it’s still early, the offer appears to be resonating with customers. We’ll continue to list them, and apply what we are learning as we move towards a more permanent national platform later this year to compliment the ongoing regional efforts. I’d also be remiss if I didn’t mention that the U.S. and several other large markets also benefitted from mild weather in the quarter. Let’s now turn to the international lead segment, which continues to operate from a position of strength. Full quarter comparable sales increased 4.2% and comparable sales were up 3.4% for the year. Strong full quarter comparable sales marked the U.K.’s 39th consecutive quarter of growth as the market outperformed both the competition and the wider retail sector. Performance was driven by a number of customer oriented office. Successful promotions featuring premium products like the new Big Flavour Wraps and the Chicken Legends drove growth and average check. The strong focus on our core menu items continued to elevate customer perceptions around quality and steady progress towards our experience of the future continues. About a quarter of the U.K’s restaurants are being converted, and plans are in place to do more throughout 2016. These restaurants offer modern in-store service platforms, such as self-order kiosks, digital merchandising and customized order pick up ways. We recently tested table service, and based on customers’ favorable reaction; we plan to roll out across nearly all converted restaurants in 2016. Australia also delivered a strong quarter of comparable sales despite lapping its best quarter in 2014. The market-wide deployment of experience of the future is driving incremental business. Customers were enjoying conveniences such as self-order kiosks and table service and taking advantage of the opportunity to customize their entrees to satisfy individual tastes. Australia continues to fuel future growth by capitalizing on wins in other markets. Most recently it’s taken a chapter out of the U.S. playbook testing all-day breakfast in 300 restaurants; it plans to go national later this quarter. Australia’s ability to quickly scale the successful initiative from the U.S. highlights one of the many ways our new segment operating structure is creating a more nimble McDonald's. In Canada, balanced growth across all-day parts drove another quarter with strong comparable sales. Engaging marketing campaigns including monopoly, festive food events, and the successful free copy promotion resonated strongly with customers. At the same time, the market continues to make progress towards its version of experiencing the future. More than 175 restaurants are being converted with a significant number of additional conversions flattened in 2016. In Germany and France, full quarter comparable sales were relatively flat. Germany’s successful monopoly promotion featuring premium products along with our focus on add-on items help drive average check in a highly competitive environment. Value remains a critical priority in Germany. In the coming weeks, we launch an integrated value strategy across our menu to strengthen our appeal to value conscious consumers. In France, the macro environment remains challenging. The informally eating out market recorded its fifth consecutive year of decline. On top of the lagging economy and dampened consumer purchasing power, the November terrorist attack negatively impacted the entire eating out industry. We have seen this in Paris and in other cities throughout Europe. Despite these headwinds, our brand remains strong in France. Successful monopoly promotions, along with the introduction of new premium products are increasing average check. At the same time we are giving customers more options across lower tiers of our menu. The new items added to our Petit Plaisir line and the extension of McFirst into other proteins including fish. We are working to become even more accessible to customers as we continue to open new restaurants including five new airport sites that were part of a deal we recently closed with Aeroport de Paris. Turning to the high growth segment, full quarter comparable sales increased 3% and the comparable sales grew up 1.8% for the year. China’s full quarter comparable sales increased 4%. Successful execution of key initiatives around value, convenience and breakfast are driving market share increases in a flat IEO environment. Despite recent external challenges, we remain confident in the potential of this important market, and in the strategies we have in place to expand the brand even further. Infact, we plan to open more than 250 restaurants in China in 2016, the highest of any of our markets. In Russia, strong comparable sales in the fourth quarter reflected ongoing recovery of brand trust. However, results may volatile moving forward giving continuing macro economic uncertainties and decreased consumer purchasing power. One additional market I’d like to highlight is Japan, where comparable sales increased 1.6% in the fourth quarter. Results were partly driven by comparisons to last year’s supplier issue, even so this marked Japan’s best quarterly performance in nearly four years. Same is diligently executing its revitalizing plan as they work to strengthen the brands appeal to customers. Our consolidated performance reflects the meaningful progress we have made to return critical markets to sustainable revenue and income growth. Although some of our larger markets face challenging headwinds as we enter 2016, we expect continued positive topline momentum across all segments. We are focused on what we can control and committed to elevating every aspect what the customer experience. This is about running great restaurants and our entire system is rallying around this essential imperative every day. The steps we’ve taken have driven notable improvements in many larger markets but there’s more work to done. 2016 will be about continuing to execute our turnaround plans, we’ll concentrate on fortifying the fundamentals of our business as we deliver what people want and expect from McDonald's today while establishing the foundation for future growth. Thanks everyone. And now I’ll turn it over to Kevin.
Kevin Ozan: Thanks Steve and hello, everyone. As Steve mentioned the strategic actions we took in 2015 were critical to restoring momentum in our business and charting our path forward. Fourth quarter played a key role in both areas. Today, I’d like to discuss the drivers of our fourth quarter results, review our outlook for 2016, and provide an update on the progress we’ve made on financial decisions announced in November. Let’s start with the look at fourth quarter results. As Steve indicated, we delivered solid comparable sales and operating income growth for the quarter. The increase in fourth quarter operating income reflects the benefit of positive comparable sales across all segments, a testament to the early impact of our turnaround efforts. Fourth quarter results also reflected various current and prior year items outside of our normal operations. Relative to the prior year, these items included comparison against results which were negatively impacted by the China supplier issue and an increase in our tax reserves. In the current year, these items included a gain of $135 million from the sale of a U.S. restaurant property and asset impairment charges of about $70 million in conjunction with our global refranchising efforts. Excluding the impact of these current and prior year items, fourth quarter earnings per share would have increased $0.13 or 10% in constant currencies. Topline performance continues to have the biggest impact on our margins, and its one of the best indicators of the strength of our underlying business. With more than 80% of our global restaurants franchised, the largest driver of operating income continues to be our franchise margins, which totaled $1.9 billion, a 9% increase in constant currencies for the quarter. The franchise margin percent increased 50 basis points to 82%, driven primarily by the solid comparable sales in the U.S. and international lead markets. Global company operated margin dollars increased 8% in constant currencies just $612 million for the quarter. While the company operated margin percent increased to 80 basis points to 15.2%. Comparison against challenging prior year results in the high growth and foundational segments accounted for the majority of the margin improvement for the quarter. Partly offsetting these margin gains were higher incremental labor costs in the U.S. reflecting the ongoing impact from our decision earlier in the year to increase crew wages and benefits. These costs along with minimum wage increase have mandated by several states during the year, negatively impacted fourth quarter U.S. margins by about 350 basis points consistent with our expectations. Solid comparable sales growth and favorable commodity cost helped minimize the impact of this labor pressure. For the quarter, U.S. commodity costs decreased about 1% primarily due to lower beef cost. Looking ahead, U.S. Company operated margins for the first half of 2016 will continue to be impacted by labor pressures of a similar magnitude in both first and second quarters. To offset some of this inflationary pressure, our U.S. fourth quarter pricing year-over-year was up over 2% placing our full year pricing below food away from home inflation of around 2.5%. 2016 food away from home inflation is projected to be between 2.5% and 3.5%. Commodity costs for the international lead markets segment were up about 1% in the quarter. While price increases vary by market, year-over-year increases for these markets averaged 1% to 3%. Looking ahead to full year 2016, commodity costs for the international lead segment are expected to be relatively flat, while U.S. commodities are expected to decline 1% to 2%. G&A for the fourth quarter totaled $675 million, up 7% in constant currencies due to higher incentive-based compensation versus the prior year. Excluding incentive based compensation, G&A for the quarter decreased to as expected. For the full year of 2016, G&A is expected to decrease about 1% to 2% in constant currencies. We expect G&A increases in the second and third quarters due to our worldwide convention in April and the summer Olympics in August. Foreign currencies negatively impacted fourth quarter EPS by $0.11 and the full year by $0.50. At current exchange rates, there will be less pressure in 2016 with an expected negative impact on first quarter of $0.04 to $0.06 and full year of $0.18 to $0.20. As always, please take this as directional guidance only because rates will change as we move throughout the year. Now I’d like to provide an update on the progress we made in 2015 and our financial decisions announced in November around G&A, refranchising and our capital structure. Starting with our G&A spend. In November, we disclose our net annual G&A savings target of $500 million from our G&A base of $2.6 billion at the beginning of 2015. This target excludes the impact of foreign currency changes. We expect to realize $150 million in savings by the end of 2016 with about half of these savings already achieved in 2015. We anticipate completing the vast majority of the remaining $350 million in savings by the end of 2017. Developing our ownership strategy is also a fundamental component of our turnaround efforts and the catalyst for our decision to refranchise about 4000 restaurants by the end of 2018. While our refranchising targets implies approximately 1000 restaurants per year, we expect variability around this average within a given year as we work to balance the necessary time needed to select the best franchisees with our desire to execute our refranchising plans in an expedient manner. During 2015 we refranchised about 470 restaurants and we are currently making progress towards completing the sale of two international markets to developmental licensees that will include the refranchising of over 400 restaurants. As part of our evaluation of ownership strategies around the world, we have been reviewing our ownership levels in all markets. In conjunction with this effort, we are exploring the sale of a portion of our ownership in McDonald's Japan if we identify a strategic investor who could help advance Japan’s turnaround efforts and unlock our growth potential with a view of enhancing value for all stakeholders. We are in the early stages of the process and taking a thoughtful approach. We have an experienced and talented management team and a strong group of franchisees, all of whom are committed to enhancing our brand and supporting our turnaround in Japan with the Japanese consumer in mind. Right now, we’re focus on exploring the viability of finding the appropriate strategic investor. We are confident that whatever may transpire with our ownership McDonald’s Corporation and McDonald’s Japan will continue to have a franchise or franchisee relationship intended to promote McDonald’s brand and business in Japan. We remain confident in the McDonald’s Japan business for the long term and their commitment to revitalizing the brand in Japan. In connection with executing against our refranchising and G&A targets. During 2016 we may incur incremental strategic charges associated with asset dispositions and restructuring. In November we also committed to optimizing our capital structure. One month later we added $6 billion of debt to our balance with an average tenure of over 15 years and an average coupon of 3.8%. We will likely have further debt additions during 2016 as we expect to return a total of about $30 billion to shareholders for the three-year period ending 2016. For the three years ended 2015 we return $15.8 billion to shareholders leaving about $14 billion in combined dividends and share repurchase to be completed in 2016. Collectively our refranchising efforts, G&A management and capital structure optimization will contribute to our goal of enhancing long-term financial value for our system and our shareholders. In addition to moving forward on the financial decisions, we’re maintaining our balanced and measured approach of investing in our business to drive future growth. For 2016, we expect capital expenditures of approximately $2 billion split fairly evenly between opening about a 1,000 new restaurants and reinvesting in existing restaurants. The majority of our new store capital is earmarked for the international lead and high growth markets, while roughly half of our investment capital will be devoted to U.S. restaurants. As we begin the New Year, we’re encouraged by recent results. However our financial performance in the coming year is not likely to be linear. As we move through 2016 we expect some variability in our quarterly results due to uneven prior year comparisons and some headwinds that exist, including macroeconomic issues in some of our high growth market and challenging quest counts in the U.S., Germany and France. Generating sustained positive guest traffic in these markets and around the world remains the top priority for 2016. We also anticipate limited pricing power in several of our markets, as a relatively benign commodity outlook and low inflation could impact our ability to increase menu board prices. In closing, we begin 2016 in a stronger position. Positive top and bottom line momentum across all segments and greater alignment with franchisees around our near-term path forward. We are committed to executing our turnaround plan, which starts with the diligent execution of operating great restaurants on a daily basis. At the same time, we remained confident in our ability to execute against our financial decisions and evolve to a leaner, more heavily franchise business that generates long term value for our shareholders. Thanks. Now, I’ll turn it over to Chris, to begin our Q&A
A - Chris Stent: Thanks, Kevin. We will now the call for analyst and investor questions. [Operator Instructions] To get as many people as possible the opportunity to ask questions, please limit yourself to one question. We’ll come back to you for follow-up questions as time allows. The first question is from Andrew Charles at Cowen & Company.
Andrew Charles: Great. Thanks. Mike, or if you're on the line, Steve as well, could you talk about the decision to run the January and February value platform at $2, as it seemed most quick-service sandwich operators are running promos in the $4 to $6 range prior to the introduction? As well as the margin profile of what McPick 2 look to looks like as well?
Steve Easterbrook: Yes. There is no Mike here at the moment, so Steve here. So, I’ll try on for this one for you, Andrew. Yes. So, we launched on 4th of January, we know that around 25% of our customers are value conscious, and that’s value at a number of price points, but certainly at the entry level. And we like the construct of McPick 2. It’s very early days. There is no like regular trading, information that we can particular share right now, but we know that the choice and the flexibility that we offer with two items at that compelling price point is attractive. As you say others have chosen a different price point to go in and bundled more items into it. We think the choosing two out of four items we have in that menu gives that, that right balance between its simple, its easy for the customer that gives them the choice and flexibility and through the quarter of handful weeks we’re certainly read the consumer response to it, we analyze the business results of it and can continue to work on developing the right value platform for us on an ongoing basis. The lead item on it is the double cheeseburger. That sold well but also the mozzarella sticks are going down really, really well and it’s a great add-on item. So it’s an incremental profit driver if you like both within the McPick 2 but also it’s not an ultimately same.
Chris Stent: Next question is from Brian Bittner of Oppenheimer.
Brian Bittner: Thank you very much. You think about the outperformance that you saw against the industry in the fourth quarter of almost 300 basis points. Do you see this trend is a path in the fourth quarter maybe driven by the euphoria of all expected to settle in it a more moderate outperformance trend? Or do you think -- see this as something in collaboration with all your initiatives that something that’s somewhat sustainable against you peers?
Steve Easterbrook: Well, certainly the idea of outperforming is something we want to maintain. We entered the quarter with good momentum in our business, clearly that was accelerated through the fourth quarter. And as we’ve said, all-day breakfast was a primarily driver of that, but not the sole driver, so it exceeded our launch expectations, the period of time for it had exceeded our launch expectation, it was also little longer that we had projected, but we do expected to settle down. But and that’s why we’re working on a number of other initiatives in the business to follow that up, so this is not – we don’t want this to be a single initiative turnaround plan, so the continued investment in food quality that could be the development of this value platform. And as we continue to reinvest in the fabric of our restaurant, we’re confident the in-store experience will continue to improve. The operation improvements we’re seeing to the drive-through old records in particular, we see its paying dividends, early days after launching a number of initiatives around people that beginning to see our start turnover decrease quite notable as well which we believe helps us deliver a better days experience. So, there’s a number of dimensions to it, all-day breakfast is understandable a more of the headline grab up, it will settle down a little from its launch space, but we believe the building is other platforms of growth on top of that will keep us competitive in the marketplace in taking share.
Chris Stent: Next question is from Karen Short of Deutsche Bank.
Karen Short: Hi. Just following on that question, I was just curious in terms of the layers of momentum, you didn’t even really given an update on the app. And then I also wondering if you could give a little update on the U.S. like guest experience in the future I think you were at 130 units in November? Thanks.
Steve Easterbrook: Hi, Karen. Its still early days for us, but I mean for us its – what we can offer in the future is exciting. What we’re actually delivering now is really just a start, so we only really launch the app here in the U.S. at the end of the third quarter last year. But within three months we had over 7 million downloads which I think just start signal, the magnitude that we can build to as we develop office and functionality way beyond the basic. At the moment its largely offer base we’re seeing those downloads being activated by customers and redeeming the offers in the restaurants. So, we believe its driving behavior. We’re able to follow consumer behavior easy so we can read the data from it. But certainly as we build the capability of the app we think it’s going to increase the compelling and the growth engine. I would say that. For the first time, here at McDonald’s we have build in a trading increase, a sale, an incremental sale expectations based on our digital platform. So little modest in 2016, but we’re actually contributing to the business growth and being a platform this is going to deliver for many years to come as we can kind of understand our consumer behavior and be more rewarding to them. With regards to the second piece, experience the future. We have around five markets up and running, as you say, with about a 130 restaurants. We’re certainly looking to expand not necessarily those markets, but into new markets at a larger scale. And the U.S. will again pick some lead regions. So this is where the regional strength of the U.S. really comes to the fall. We got 23 regions here in the U.S. we’ll be picking two or three of those to really look to accelerate that version here in the U.S. they experience the future through 2016 and into 2017. But there would be adopting a slightly different approach in those three regions, so it can actually learn in the market here what truly resonates the customers, what the business results are and the future potential. So, and also given on this structure now we’re learning so rapidly from the way that Australian has build their business kind of the building there as U.K. France and particular theirs, but we are rich in inside which is helping each other makes smarter decisions and shorten the time line, so we’re certainly share more in a moment, the moment the majority of our growth we’re building into the U.S. performance through 2016 is through continuing to deliver against the basics of our turnaround plan.
Chris Stent: Next question is from David Tarantino of Robert W Baird.
David Tarantino: Hi. Good morning. My question is on the U.S. comps momentum you saw in the fourth quarter which was very impressive, I was wondering Steve, if you help to sort of dissect what some of the drivers were in particular if you could help to quantify what you think to live from all-day breakfast might have been during the quarter and also the weather impact and then that’s question number and then as a follow-up perhaps if you could talk about some of the structural improvements you’re seeing what driver-through simplification if you’re starting to see some progress and to be a service there? Thanks.
Steve Easterbrook: Yes. Thanks, David. We don’t want to give specifics on the respect drivers. But the pace that I want to make sure we don’t lose it, but we were building momentum heading into the quarter and heading into the launch of all-day breakfast and I won’t necessarily do a full laundry list of the work that team have done, but certainly around the fundamentals delivering a better high quality food experience day and day out. And you know, you heard me talk about the Devils is in the detail always around toasting of the buns and searing of the beef, and when you ally that with investing in the types of quality investment that customers care about structures; one of the antibiotics move we made in the poultry supply chain or the announcement that we on our journey is going to cage-free eggs. That just creates a buzz and customers know that you care about the same things that they care about and they just respond with their business. All-day breakfast was clearly the primary driver of the quarter. We knew it would be -- we focus the restaurants both operationally, marketing and merchandizing on that. As I say through the launch base, we help contribute materially for the quarter, absolutely no doubt. We hit peaks. We exceeded the self contribution that we had projected and as I say it lasted longer through than a typical launch period does. But inevitably a settle down as we introduce other initiatives in the restaurants through 2016. the weather was no simple but not material, but I just though it was approximately and transparent to reference it because it did give us a positive contribution not just in the U.S. but in many of our major markets around the world that did provide a helpful tailwinds but I thought it would fair to recognize and just acknowledge. In terms of the drive-though in particular, certainly the streamlines menu boards have made life easier for our customers and made life easier for managers and crew in the restaurants .So that experience has simplified and help speed things up. Alongside, the greatest barrier to the overall service experience in the drive-through we’ve identified this order accuracy, so the team the operational teams have been working really on initiative – again, I won’t go into the details we could ask – it just the way that we, the order experience to the customer where we can just confirm twice over that we capture the order right and then we’re presenting exactly the right order to the customers before they drive off. And we’re finding that as noticeably improved well accuracy which in turns improve speed and clearly customer satisfaction, so we got plenty more to do. We’re working through and continue to challenge the menu and if there is further simplification areas there, but simplification goes way beyond that. There’s has been through packaging, through merchandizing through marketing where we can help the restaurants teams by taking work load of them, taking focus on the fundamentals of what they want for serving customers.
Chris Stent: Next question is from David Palmer of RBC.
David Palmer: Thanks. In the last turnaround, but one of the early 2000s, clearly there’s a focus or refocus on service execution you’re just touching on some of that, so if you have any numbers on customer satisfaction today or in future quarters I think that will be really helpful to for people to get their head around the sustainability of return that maybe starting with all-day breakfast trial and bringing back those lapsed users. On the premium platform innovation front, you feel like you’re using this window perhaps being created by all-day breakfast to give yourself a pace of testing that is greater and in fact that you’re building that pipeline for 2017 and beyond and if so, how is that looking and what giving your confidence there? Thanks.
Steve Easterbrook: Hi, David. So, in terms of customer satisfaction obviously we got a number of different ways that we can monitor customer’s satisfaction, and we have one or two different systems around the world. There is not pay consistent measure as we speak. But we move and transition to a new customer satisfaction measure here which we call the Voice, which is actually we’re gather multiple number of a customer feedbacks compared to where we were previously, so I didn’t explain that very well. We’re gathering a lot more consumer feedback than we ever have done, is the better way of saying is, certainly we’re seeing overall satisfaction improving both in drive through and install and we’re certainly seeing order accuracy in the drive through. We’re around – the actually satisfaction on speed in improving, our speed time haven’t improved as much as satisfaction has done, so we want to work operationally to physically speed up as service experience, but the same time customers are reporting a greater satisfaction with the speed, which is very encouraging. So that means the overall experience is working for them. In terms of the premiums, yes, absolutely, as you gather momentum and you start to get these growth drivers that you can layer upon each other, it means you can raised ahead and look a little further in the way you plan and develop the business. So, on the premium side and by the way each market doesn’t have to work in isolation. So we have a number of initiatives around the whether its Create Your Taste in Australia, a new premium range of signature burgers in the U.K. a similar version of that within France for example, and we have these sophisticated, well executed rollout across those market all of which is helping is inform us that where we had with the experience in the further. What we do now is customization is important. We don’t know quite how much customization customers truly wish, it like a little bit of flexibility, but I don’t need to have complicated, so we’re working on that for example, We’re working on the manner in which customers can order those premium burgers, a way from the traditional just through the drive-through or at the front counter and that’s where I self order kiosks and potentially you can say where service comes into play. But again, we’re getting a really good read on progress in some of other mature and lead markets and that certainly helping shape and inform the thinking here in the U.S. So, more to come, are we using the time to work on developing that platform? Absolutely yes, we are.
Chris Stent: Next question is from Greg Badishkanian at Citibank. Q - Greg Badishkanian Great. Thanks. Just trying to understand where you’re getting your new customers from which is lifting same-store sales. You had two big introductions, the two for $2 all-day breakfast and do you think you’re gaining – are you gaining those from burgers operators or while QSR to bought a restaurant category and just define each one, so I think you might be getting customers for each of those two programs?
Steve Easterbrook: Hi, Greg. I think we’ve been pretty clear, but we go through the revitalize stage of this turnaround, the market share that we’re looking to recover and grow is in our more immediate competitive grow. So that kind of QSR segment. And then as we strength and then ultimately want to get back to leadership position that we’re aspire to, I think that growth will come from broader eye, So, at the moment the initial momentum we’re seeing typically around the world is coming from QSR, some of that is recovering share as we lost as well. So, that’s certainly hardening for us. I would say, potentially one slide difference from that is around all-day breakfast which where we’re capturing customers with really what is a different occasion there. So -- and that is new to us and McDonald’s. I think the customers where the incremental business, an incremental visits were getting off probably from broader IEO segment, but typically our focus on this initial stage turnaround is around winner nearing market and recovering what we’ve lost to getting into a period of outperformance.
Chris Stent: Next question is from John Glass of Morgan Stanley.
John Glass: Thanks very much. Just related -- somewhat related maybe actually unrelated, but one is on the pricing, you talked about being cautious on pricing overall all over in the U.S. I think you said the food away from home inflation was going to run some two plus percent, are you saying that you feel good about pricing in the U.S. given that inflationary level and if they maybe elsewhere and maybe talk about how you think about U.S. pricing specifically. And just to clarify the SG&A, if you take it down 1% to 2% from 2015 levels its not going to match the 150 million your savings more like 50 billion, so is that because you’re not including the operator conference in the Olympics on that calculation that sort of one off or not factored into that 500 million or how do we think about that?
Steve Easterbrook: Thanks, John. Let me start with the pricing, because we think about pricing relatively similarly around the world and that is we look at a whole bunch of factors to influence our pricing that include food inflation, GDP growth, our internal cost inflation et cetera. Similar to how the U.S. will do it. So, for 2015 we said that the U.S. increase their prices a little over 2% compared to food away from home inflation of around 2.5% and that for 2016 food away from home inflation was expected to be 2.5% to 3.5%, so we would continue to think about pricing in a similar way as we’ve been and keep an eye on that food away from home inflation, as well as food at home inflation just to make sure that we’re not getting out of whack with that. Related to the G&A, the way we look at it is, we saved – I’ll say a little more then half of that $150 million in 2015, which means that we go into 2016 with our base or run rate of those savings built in. We’ll look at 2016 similarly, so while we may not get all of those actual savings realized in 2016 will have it out of our base by the end of 2016, so that as we go into 2017 we’re going in with the base, that’s $150 million less than where we started at the 2.6 billion and that’s a net number, so that includes the Olympics conventional or the additional cost in there also.
Chris Stent: Net question is from Nicole Miller Regan of Piper Jaffray.
Nicole Miller Regan: Thanks. Good morning. Going back to mobile you said 7 million downloads I believe, is that since you launched and how many have redeemed offers and what can you tell us about the profile. And then just a final thought on mobile, I believe if I understood correctly you early said, it’s modestly in the guidance and what is giving you that convection to make that comment. Is this is new customer? Is it a loyal customer that spending more, just want are they doing? Thanks.
Steve Easterbrook: Can you just repeat just that second part of the question, Nicole, about something in the balance?
Chris Stent: Why convictions were including.
Steve Easterbrook: Okay. Okay. Someone’s explained here. Right, it’s a two point of that question. So, there are number of metrics that we will follow through and we follow closely on a weekly basis, daily and weekly basis on the app. One is clearly the downloads. Then you want the registration numbers and then you want to see the activity. So we have 7 million downloads which gives people access to things like restaurant Russian locator, nutritional information and the rest. As I start to share their information get confident with us and clearly then they will start to register and we can then communicate if they no choice of their local restaurant or their preferred restaurant, then we can start to localize the offers to them and then we start to see the behavior. We are seeing higher registration rates than industry norms from those downloads and we’re also then tracking effectively frequency of usage and we’re trying to encourage that with things like loyalty play such as buy any five McCafes of any size and you one free. So it and you get one free. So it’s a fairly basic loyalty play just to get people familiar with using it and actively using and keeping it on their phones basically. The reason we have build a sale build into 2016 is because we have seen the incremental business, We’ve have seen the incremental average check of redemptions, so when people redeem an offer we’re actually seeing higher average check than we had expected to see, so we can see there’s an incremental business driver, plus we got other initiatives that we both scale the number of customer and usage, but also enhance the overall experience as well which will encourage people to return to that more often and clearly hopefully return to McDonald’s more often. So we have it really -- we have it week-by-week and month-by-month as a build and we about to clearly update ourselves on whether we hitting those projections, but its – it will be a helpful contributed to sales in 2016 and will help guide us around the world beyond to actually derive that return on the investments we’re making in this digital strategy as a home.
Chris Stent: Next question is from Joe Buckley of Bank of America Merrill Lynch.
Joe Buckley: Thank you. Like to ask two related questions on plans, First, with respect to the U.S. turnaround and sustainability of the U.S. turnaround, can you talk about some of the pipeline of ideas or you mentioned a platforms a couple of time, if you could be able to be more specific about how you’re think about product news and innovation to sustained the U.S. comp and then a little bit longer term you’ve referenced in the past that you would be sharing a longer term strategy at the worldwide on a operating conference in April and probably sharing that with the street sometime thereafter, I guess I was curious if that was still the game plan and if you can put any outline or any meet around what we might here?
Steve Easterbrook: Okay, Joe, so confidence as we build through 2016 in the U.S. I mean clearly we’re planning for growth and we have a very robust plan that team has build, so that gives us confidence. We will continue to work the breakfast platform and beverage platform hard. Anyways its important day part for us and the all-day breakfast is the further growth opportunity which we’re going to continue to work hard through 2016, getting the value platform right will be important to us as well we are taking a very serious look at it and learning from it before we than go into a national and permanent launch base but we feel good about where we’re at in the moments. You can expect to see as also focus more on our call menu. You know we are proud of the menu and we believe there is – these are iconic and real popular assets that we believe that we could – we can probably do a better job with it. We can bring to life and we’ll continue to invest in the ingredients and the food quality and create some fun around that. You can expect to see. For to create fun around the brand you will also expect to return to one or two be promotional mechanics we have. We got opportunities throughout the year to just bring it some variety and some fun around promotional activity, shorter term promotional activity just to help provide that balance for the menu. So I think -- and then with the digital platform layering on top of that, we believe we’re building these building a platform that will continue to grow through 2016, but will also take this into 2017 and beyond. As we develop and better articulate here in the U.S. our Experience the Future that is something we know the system is excited about, we know its creating a lot of energy momentum elsewhere on the world and getting that right, and the business model right and actually getting the right elements of that for the customer here in the U.S. is going to important to us and we’re excited about what we’re going learn in 2016 [ph] because we believe that’s going to contribute to 2017 and beyond. It sounds the longer terms strategy, I guess what we will want to see is we’ve had two quarters of growth in this turnaround, so we would certainly be looking to see another quarter or two before we ourselves start to moving the turnaround plan into a longer term growth plan. What I can’t tell you is that we have a small and senior team looking at developing what that growth plan looks like, the elements of it, the brand positioning of it and the vision behind it, but it’s a small chain that’s working discretely on it because at the moment the entire organization globally is focused on a turnaround. So, whether it’s later in the second quarter or sometime in the third quarter, I would say by around the middle of the year when we get confident that it’s the right time to transition from turn around it’s a growth who share that internally and soon after externally.
Chris Stent: Next question is from Karen Holthouse of Goldman Sachs.
Karen Holthouse: Hi, thank you for taking the question. Looking at the remodel CapEx going into U.S. stores, can you give us a sense of where the majority of those dollars are going? Is it more going to sort of cleaning up longer tailed stores that maybe haven’t been reinvested in recently or more specific initiatives around kiosks or digital menu boards or something like that?
Steve Easterbrook: Yes, Karen. For 2016, we said that about half of the reinvestment around the world will be reinvested in the U.S. That consists of several buckets if you will. It’s probably four to five hundred reimages in 2016, about 90 rebuilds where we kind of tear down the restaurant and put up a new one. It also would include capacity enhancements, things like putting in side by side drive through as well as our normal maintenance CapEx. It also would include digital menu boards in substantially all the restaurants in the U.S. So it consists of several of those components that would kind of comprise the total reinvestment in the U.S.
Chris Stent: Next question is from Jeff Farmer of Wells Fargo.
Jeff Farmer: Great, thank you. As the U.S. same-store sales recovery continues to build momentum, how should we be thinking about the pace of a potential restaurant level margin recovery, just a little color on that? You guys have obviously given us some color on not only cost of goods sold for 2016, some of the incremental labor pressure that you introduced maybe by through last year, but is there anything preventing you from returning to the high teens of the U.S. restaurant level margins over the next couple of years again big caveat, I understand but assuming you guys can continue to deliver some topline momentum, can we see these high teens restaurant level margins again in the U.S.?
Steve Easterbrook: Yes, thanks Jeff. You know as you know when we talk about pretty often margins for us are topline gain. I mentioned that we’ll have some pressure first and second quarter in 2016 as we kind of round out the additional labor cost that we have from the decision we made to increase wages for our restaurant crew. But with benign commodity cost, relatively reasonable inflation and hopefully from pricing capability, it will come down to what kind of comps we are able to achieve to determine whether we can grow margins. I think what fourth quarter should have shown everyone is even with those labor pressures when we have good comps, you know again depending on where commodities are we are able to offset a lot of those pressures. So it really does come down to continuing to grow comps.
Chris Stent: Next question is from Jeff Bernstein of Barclays.
Jeff Bernstein: Great, thank you very much. Just a follow-on, on that question. Just wondering how you actually think about the interplay of commodity and labor especially as you look at the offerings going forward. I mean right now obviously with the commodity down, labor up, but just wondering is pricing easier this way or would you prefer do it the reverse? I think, I think you mentioned from a food stand point where the food away from home is still 2.5% to 3.5% and you are going to be less than that. But food at home seems like its well below that entirely. So I’m just wondering, how you think about those two buckets being that they are similar in size, and you know the concern you might have on even pricing at that 2% plus level. Thanks.
Kevin Ozan: Yes, it’s a good point in that I don’t want to oversimplify how we look at pricing. We have to look at to your point beyond just food away from home as one piece of information. Food at home exactly as you mentioned is clearly below food away from home right now. And so, we look at food inflation in total because we need to make sure that kind of home is the competitor and people could be leaving us if you will to eat more at home. But we have to look at all costs, both food and labor to determine pricing and it also comes into play of what our competitors are doing, the demographics of where we are, so there is a lot of things that go into determining pricing. I don’t know if I can pick one or another as far as what I’d rather have labor or food be high cost if you will.
Steve Easterbrook: Just one point I would add to that Jeff is whilst we will clearly build an assumption into our plans because that’s how we set our plans, we don’t make a single pricing decision just once a year we make decisions across the year. So we can always guage the consumer, consumer confidence where our costs are going and where the competitive environment is and do our best clearly to make the right decision. So it’s -- we have multiple opportunities across the year to reassess and make sure that we are certainly seizing the opportunity but without being -- taking it too far.
Chris Stent: We have time for one more question and it will be from Jason West of Credit Suisse.
Jason West: Yes, thanks guys. Just on the market share number, can you give the two components of that you know the McDonald's number and the equivalent calculation and then the industry number that you saw to get to the 29 and then see just big picture on that sort of same store sales, trajectory. You know we’ve been dealing with challenging markets around the world, it feels like for several years now and you guys are starting to see momentum despite that but if feels like the volatility and the challenges only can be get worse each year, so how does that affect you guys going forward, do you think we’re still kind of an environment we’ve been in or have things you know externally maybe gotten a bit worse? Thanks.
Steve Easterbrook: Like in terms of the market share takes then we would take across the pretty much the 14 week period, but our growth would be at 5.7% in the QSR sandwich segment ex-McDonald's would be 2.8 giving us the differential of 2.9. So, overall growth in the market we were outperforming that clearly. In terms of around the world, we want to be careful that we don’t sound too anxious and create concern around the headwinds and what have you, because there is so much of our ability to grow is in our own hands. And you know we are really focussing on what we can control. I mean, we have noticed and we have a history of being successful in many many countries around the world through strong economic times as well as challenging economics times as long as we do the right thing about the customer. So overall, we are confident heading into this year. We’ve been through the plan in detail of our largest nine or ten markets, and I’m confident they will deliver the growth to a level that we are satisfied and we are challenging ourselves hard on it. I also want to be pragmatic. In France in the moment for example, it’s tough, IEOs decreased for five years in a row. So if you are going to grow the business, you really have to take a significant amount of share in the declining market for that to translate into topline growth. And to do that you don’t want to free yourself out of your longer term strategy and the brand building they have done. So, I think there are some realities and it is right for us just to be a little cautious about, but if I take a look at the collective across the U.S., across the lead markets and the high growth markets, you know we are building plans and certainly on a consolidated basis with an expectation of growing. So -- but as you will know from the markets even the start of this year, volatility just creates a scrappier environment and a little bit of nervousness whether its across investor community and sometimes in certain markets across customers. So we need to be mindful or sensitive to that, you know China is a good example where you know that kind of volatility in the market place just create a little bit of anxiety. So that’s why we want to reinforce our confidence in that market in growing our core business as well as incremental units and new store of growth. So we're mindful. We stay close. But we remain quietly confident.
Chris Stent: We’re at the top of the hour, so I’ll turn it over to Steve with a few closing comments.
Steve Easterbrook: Thanks, Chris. And again thanks to all of you for joining us this morning. 2015 was a year of change. We are running McDonald's differently and building on our unique advantages as we strive to become a modern and progressive burger company. Our fourth quarter results reflect the meaningful progress we’ve made. And whilst there is more work to be done, we are on the right path. We are focussed on our customers and delivering what matters most to them. Hot fresh food, fast friendly service, in a contemporary environment, all are the value of McDonald's. I am confident in our ability to sustain a positive momentum as we continue to execute our turnaround plans into 2016, and I’m excited about our longer term opportunities to strengthen our business and reassert McDonald's as the global leader we know we are. Thanks, and everyone have a great day.
Operator: And this concludes McDonald's Corporation Investor Conference Call. You may now